Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good day and welcome to the third quarter twenty twenty one Shutterstock earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. 00:34 I would now like to turn the conference over to your host, Mr. Chris Suh.
Chris Suh: 00:41 Thank you, [Rand] [ph]. Good morning everyone and thank you for joining us for Shutterstock's third quarter twenty twenty one earnings call. Joining us today is Stan Pavlovsky, Shutterstock's Chief Executive Officer; and Jarrod Yahes, Shutterstock's Chief Financial Officer. 00:57 Please note that some of the information you will hear during our discussion today will consist of forward-looking statements, including without limitation, the impact of COVID-nineteen on our business, the long-term effects of investments in our business, the future success and financial impact of new and existing product offerings, our ability to consummate acquisitions and integrate the businesses we have acquired or may acquire into our existing operations, our future growth, margins and profitability, our long-term strategy, and our performance targets. 01:29 Actual results or trends could differ materially from our forecast. For more information, please refer to today's press releases and the reports we file with the SEC from time-to-time, including the risk factors discussed in our most recently filed Form ten K for discussions of important risk factors that could cause actual results to differ materially from any forward-looking statements we make on our call. 01:52 We'll be discussing certain non-GAAP financial measures today, including adjusted EBITDA and adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, revenue growth including by distribution channel on a constant currency basis, billings and free cash flow. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the financial tables included with today's press release and in our ten Q, which are posted on the IR website. Finally, please refer to the brief information that we posted on our website that contain supporting materials for today's call. 02:27 With that, I'll turn the call over to Stan.
Stan Pavlovsky: 02:31 Thank you, Chris and good morning everyone, and welcome to Shutterstock's third quarter twenty twenty one earnings call. This morning, I'll be providing a recap of Shutterstock’s performance this past quarter in which we saw continued growth in the business across both enterprise and e-commerce. I'll also be updating you on the significant progress we've made in strategic focus area of workflow innovation through the acquisition of PicMonkey in the third quarter, as well as some exciting product developments. 03:03 Shutterstock saw continued momentum this past quarter with revenue growth of eighteen percent on a year over year basis. Our e-commerce channel grew eighteen percent year over year led by ongoing growth in our small subscription offerings. We introduced just today a new e-commerce subscription called FLEX 25. FLEX 25 is the first e-commerce subscription offering from Shutterstock’s FLEX family of [products] [ph]. 03:33 Similar to FLEX and FLEX Premium for our enterprise channel, FLEX 25 is a credit based mixed asset subscription plan. These monthly credits can be used by e-commerce customers to download images, footage and music products based on their individual needs, and we are excited about the market potential of this new product. 03:57 Our enterprise channel experienced acceleration in momentum to seventeen percent year over year growth, its fastest growth since twenty eighteen. We saw strength in our SMB FLEX subscription product, which we introduced in April twenty twenty one. Shutterstock’s Studios also contributed to growth driven by an acceleration in the delivery of creative content for Blue Chip Enterprise clients. 04:25 From a strategic perspective, I could not be more pleased that we have executed on the acquisition of PicMonkey in September. PicMonkey’s easy to use design and editing tools, collaboration features across teams and robust library of predesign templates make professional publishing assets widely accessible to anyone. And this is expected to allow Shutterstock to enhance and accelerate the delivery of our vision for further embedding ourselves into our customers workflow. 04:58 In addition to assisting in our existing customers workflow, we expect PicMonkey to expand on Shutterstock’s customer base to new audiences who require easy to use creative software and design tools. Over the medium term, the move that we have been making with Shutterstock AI and PicMonkey are designed to set the stage to allow us to serve our customers more fully and ultimately grow faster as a company. 05:26 We believe that they open up larger and faster growing TAMs for Shutterstock, such as the eight billion dollars TAM for creative applications, as well as the nascent market for using AI to improve marketing effectiveness by predicting the performance of content assets. 05:44 As we execute on our plan to transform Shutterstock over the long term, we should be able to accelerate our growth beyond the stock content market segment, which is growing at five percent to seven percent on an annual basis. 05:59 This morning, we also announced the launch of Creative Flow for our enterprise customers. Creative Flow is a suite of applications powered by AI. Each application enables customers to create and collaborate more efficiently. These workflow applications serve up insights, scores and recommendations to give our customers content the best chance to succeed in a crowded landscape. 06:26 To lay the foundations for Creative Flow, we introduced two distinct workflow applications today, catalog and plan. Catalog centralizes content and improves discoverability. It allows our enterprise customers to organize, find, and manage content in an efficient manner across functions and even across companies. 06:50 Enterprise customers can upload and manage their image, video, and music content, whether that's licensed from Shutterstock or acquired from other sources in one unified view. In short, customers will be able to find their content faster, which will free up their time to focus more on the creative process itself, rather than content management. 07:14 Catalog is also the first place where we have started introducing insights powered by Shutterstock.ai. Our customers can see how Shutterstock content has been used and how popular it is in our library to ensure they are selecting unique content. 07:30 In the coming weeks, customers will also be able to see predictive insights around which audience segments each is most likely to resonate with. Additionally, we'll be using our color extraction technology to show the hex values for colors in any image so that customers can create faster, without having to experiment to find the perfect pallet. 07:55 [Plan] [ph], the second application we released will enhance content discoverability and keep teams organized around specific deadlines. Keeping enterprise teams organized enabling tighter collaboration Clients can access curated collections centered around moments, such as holidays, seasonal trends, or other events, as well as receive recommendations for content. 08:23 Over the next several quarters, with the technology we acquired with PicMonkey and Shutterstock.ai, we will layer in a design creation capability, as well as additional predictive performance capabilities into creative flow and extend the product into our e-commerce channel. This will transform Shutterstock into a true creative platform and allow our customers from small businesses to global enterprises to create with confidence. 08:55 Before turning the call over to Jarrod, I'd like to leave you with a few takeaways. Over the past year, our strong financial performance has allowed us the flexibility to launch new multi-asset subscription products across channels, invest in our technology platform with the launch of Creative Flow, and accelerate our product strategic acquisitions, supported by robust market. 09:20 With these investments, both organic and inorganic, we are well on our way in our journey to transform Shutterstock – to transform Shutterstock into a leading creative platform, leveraging content, data, and workflow applications. I look forward to providing everyone with further updates in the quarters ahead. 09:40 I'll now turn the call over to Jarrod.
Jarrod Yahes: 09:44 Thank you, Stan, and good morning, everyone. Shutterstock grew revenues eighteen percent in the third quarter or seventeen percent on a constant currency basis. Foreign exchange contributed two percent less to revenue growth as compared to the second quarter as the euro and the pound softened versus the U.S. dollar. 10:04 E-commerce revenue grew eighteen percent this quarter with consistent growth across content types and strong growth from our subscription offerings. PicMonkey added one percent to total company revenues this quarter, and we recognized the revenue for the month of September in our e-commerce channel. 10:23 Our enterprise channel experienced tremendous growth this quarter accelerating to seventeen percent year over year based on strong year to date bookings momentum and great performance at Shutterstock Studios. 10:36 Gross margin improved by seventy basis points year over year to sixty four percent and was consistent with second quarter gross margins. While we saw another quarter of gradual return to growth in paid downloads, the increasing utilization did not impact our gross margins. 10:54 Sales and marketing expense was twenty eight percent of revenues as compared to twenty two percent in the third quarter of twenty twenty and up from twenty four percent in the second quarter. This increase was driven by increased investment in marketing, largely around our previously discussed brand campaign, as well as higher sales commissions associated with strong enterprise revenue performance. 11:18 Product development as a percentage of revenue increased sixty basis points in the third quarter due to costs associated with our third quarter acquisitions, higher compensation costs due to additional hiring of engineers, as well as additional performance based stock compensation expense. 11:36 G and A expenses were eighteen percent of revenue, up one percent from the third quarter of twenty twenty. G and A expenses this quarter included transaction costs of approximately two point five million dollars, related to our third quarter acquisitions, which explains the variance. 11:54 The sequential decline in EBITDA margins to twenty three percent resulted from the increased marketing spend we previewed in the second quarter and the one-time M and A expenses that impacted G and A costs. For the third quarter, GAAP diluted earnings per share was zero point four three dollars and adjusted diluted earnings per share was zero point seven zero dollars. 12:15 Turning to our balance sheet and cash flows. At the end of the quarter, we had three zero one million dollars of cash, down from four eleven million dollars at June thirty, twenty twenty one. 12:27 We generated fifty five million dollars of operating cash flows offset by one hundred and ten million dollars paid for PicMonkey, thirty one million dollars of cash paid in the quarter for our acquisitions associated with Shutterstock.ai. Ten million dollars of CapEx and content acquisitions, the eight million dollars quarterly cash dividend paid in September and four million dollars of share repurchases. 12:54 Our deferred revenue balance of one hundred and seventy one million dollars increased almost ten million dollars in the second quarter and almost twenty seven million dollars from the third quarter of twenty twenty. Eight million dollars of the third quarter deferred revenue balances from PicMonkey, and so excluding that, we grew deferred revenue of thirteen percent year over year. 13:16 This growth in our deferred revenue balance is a strong leading indicator of the future growth of recognized revenue of our enterprise revenue channel, which represents more than half of the deferred revenue balance. In terms of capital allocation, we will pay our next quarterly dividend of zero point two one dollars per share on December sixteen, twenty twenty one. 13:37 We plan to grow the dividend in line with cash flow growth and plan to revisit the quarterly dividend before we announced our fourth quarter results. With respect to our share buyback program, we have commenced our seventy five million dollar annual buyback and are in the market each day buying. 13:56 At current share prices, this would allow us to buy back approximately two percent of the share count each year. By growing our dividend over time, at rates in excess of average equity market rates of return, repurchasing shares on a consistent basis and remaining active in M and A, our goal is to provide investors compounding annual returns that exceed our growth in revenues and operating profit. 14:23 Turning to our key operating metrics, subscriber count increased by thirty two percent Subscriber revenues increased by twenty one percent. Average revenue per customer increased by ten percent to three sixty one dollars and paid downloads were up two percent and revenue per download increased to four point two zero dollars per download. 14:44 We are pleased with the strong subscriber and subscriber revenue growth figures this quarter. In particular, we've seen strong market reception for our FLEX multi-asset subscriptions that have already been in the market in our enterprise channel and just this week launched into e-commerce. 15:01 The sequential slowdown in subscriber growth is largely due to the lapping of the new video and music subscription products introduced in the back half of twenty twenty. At this point in time, we have not included PicMonkey’s customers into our operating metrics, but anticipate doing so once the product is integrated into our Creative Flow application suite. 15:25 We also continue to execute on our M and A strategy this quarter with the acquisition of PicMonkey. This deal is emblematic of the type of transaction we want to pursue where we acquire a great business with leading technology and where we believe we can use our sales channels and our marketing muscle to accelerate the growth of the acquired business. 15:46 PicMonkey was a growing and profitable company with a large scale subscriber base of over two hundred thousand customers. We paid a reasonable multiple for the business using cash on the balance sheet, and from a technology perspective, we expect to fully integrate this into our Creative Flow application suite over the course of the next several quarters. 16:08 Finally, turning to guidance for the remainder of the year. We are increasing our full year revenue adjusted EBITDA and adjusted earnings share guidance as follows: Revenue of seven sixty five million to seven seventy million, representing fourteen point seven five percent to fifteen point five percent annual revenue growth. 16:29 Adjusted EBITDA of one hundred and eighty five million to one hundred and ninety one million with annual margin expansion of one hundred to one hundred and fifty basis points, above our previously provided range of one hundred basis points of annual margin expansion. And adjusted earnings per share of between three point one eight dollars a share to three point two nine dollars a share. 16:52 In the fourth quarter, we expect to see continued steady growth in our enterprise business and slower growth on more difficult comparables in e-commerce. We also expect to see EBITDA margins of sixteen percent to eighteen percent as we further ramp up spending on the brand campaign. This will result in sales and marketing to increase in the fourth quarter as a percentage of revenues as compared to the third quarter. 17:17 We are pleased with our results for the third quarter and expect to provide formal twenty twenty two full year guidance as part of our fourth quarter results. We feel great about the PicMonkey acquisition and the moves that we're making to incorporate predictive performance data into our offerings with Shutterstock.ai. 17:36 We are pleased with the introduction of FLEX 25, our first multi-asset sub in e-ecommerce and are excited about the rollout of the initial applications have Creative Flow for our enterprise customers. All around, Shutterstock is making tremendous progress in becoming a creative platform that allows our customers to create with confidence. 17:57 Thank you so much for joining us today. We very much appreciate your time. Operator, we'd now like to open the line for any questions.
Operator: 18:06 Thank you, sir. [Operator Instructions] We have our first question from the line of Youssef Squali from Truist. Your line is open.
Youssef Squali: 18:34 Great. Thank you very much. And hey guys, congrats on a very solid quarter. Two questions. One is, maybe starting with Jarrod, as I look at your guide for the year, the implied guide for Q4, I think at least on the top line, I think that we were talking about maybe eleven, twelve percent at the high end, can you maybe flush that out little bit between what's baked into what kind of organic growth is baked into that and why the material slowdown? I know you are up against some tougher comps, but outside of tougher comps, is there anything else going on? I think you just called out maybe a growth in e-commerce being a little less pronounced in the fourth quarter. And then maybe stepping back and Stan, you talked about how PicMonkey and the other AI innovation M and A should help you accelerate growth as you move into maybe as you expand your TAM? How quickly do you think that gets kind of realized and we start seeing it reflected in the P and L? Yes, maybe let's start with those. Thank you.
Jarrod Yahes: 19:53 Sure. So, Youssef, just to start with the fourth quarter guidance, at the top end of the range, I think you were correct, it's about twelve percent overall growth. We disclosed this quarter about nine million dollars of M and A contribution in the quarter. So, if you extrapolate that out for the fourth quarter where we have a full three months of PicMonkey that's about a twelve million dollar M and A contribution, which implies about six percent organic constant currency growth for the fourth quarter, which is a slowdown. 20:23 There are tougher comparables that we're facing in the fourth quarter. E-commerce growth in particular stepped up quite meaningfully from the third quarter of twenty twenty to the fourth quarter. We're not satisfied with that level of growth. There's a number of things that we are working on to get that growth rate back to where it's been over the course of the last several quarters. But we do feel quite good also about the continued momentum and acceleration in our enterprise segment, which is really allowing us to grow twelve percent in the aggregate for the fourth quarter.
Stan Pavlovsky: 21:00 And to answer the second part Youssef, you know, we'll provide guidance in the next quarter, but really the way to think about it is whether it's the acquisition of PicMonkey or our previous acquisition of TurboSquid in the 3D marketplace. There’s really kind of two parts to the growth story longer term, which is, one, we're expanding the universe of customers that we can provide relevant tools for relevant content for as a more complete offering. 21:35 With some of our data deals, this is where we feel like there's kind of two areas of potential growth. One is around increasing the retention of our existing subs by providing really interesting insights as part of the content selection process. So, content recommendations is a big part of that. We also expect to introduce new subscription products that are actually based on predictive performance. 22:05 And then lastly, as we look at our data business, we expect to continue to generate a pipeline around image recognition and data products, particularly for platforms that are building artificial intelligence models. And so that had an impact on our quarter from an enterprise perspective in Q3, and we do anticipate that that will be another business for us sort of going forward. 22:38 So, it's a long winded way of saying that I'm not really providing guidance yet on sort of the impact for next year, but needless to say, we definitely did these acquisitions to help provide some incremental growth to what you would expect from the pure stock category TAM in twenty twenty two.
Youssef Squali: 23:04 Okay. That's super helpful. And one last one, if I may? Just on your buyback, I think so last quarter, you announced about a seventy five million dollar buyback, annual buyback and the idea was I think to have it be done almost evenly. If I look at so far, you've only bought about four point two million, are you trying to be opportunistic or did you just get a maybe a late start?
Jarrod Yahes: 23:31 No, Youssef, we're not trying to be opportunistic. The goal is to buy seventy five million dollars of value stock over a twelve month period. We did get a little bit of a late start though because we were waiting for the acquisition of PicMonkey to be consummated and announced before we initiated the program. We felt like that was prudent. So, we kicked off the program as soon as we were cleansed of the PicMonkey information and started thereafter.
Youssef Squali: 23:55 Got it. That clarifies it. Thanks a lot. Congrats again.
Operator: 24:02 Thank you. Our next question is from the line of Andrew Boone from JMP Securities. Please go ahead.
Andrew Boone: 24:10 Hi guys. Thanks for taking my question. I want to talk about Creative Flow and just what you guys are building more for users. Can you talk about what users are asking for in terms of just better flow and as well as [direct to date] [ph] AI and kind of how that incorporates into the competitive dynamic going forward? It seems like it's very differentiated asset versus other players in the space. And so, can you just touch on those two things? And then I have a follow-up.
Jarrod Yahes: 24:39 Yeah. Hey, Andrew, how are you? So, basically Create Flow is exactly a reflection of our research with customers who have asked us for some workflow enhancements where they wanted to have more than just a content marketplace. They wanted a place where they can store all their assets. 25:06 They wanted a place where they can collaborate and plan and have a planner in support of key dates throughout the year. But the big sort of differentiation is exactly what you said with the data, because if you think about it, there's so much content out there and the single most challenging decision for creative is what content to use. So, if you can take millions of pieces of content and take that down to a handful based on recommendations tied to a first party data, that's an incredible win for our customers. 25:46 And so, the acquisitions we did as part of Shutterstock.ai in addition to our existing image recognition data is allowing us to launch these products with recommendations, with content recommendations. And so, that's really the, kind of what we call the secret sauce to how we're transforming the company. But effectively, it's, we are moving into our customers workflow with tools centered around storage, centered around planning, centered around our editing, but we're doing it all with recommendations upfront.
Andrew Boone: 26:30 That makes sense. As then just on marketing, right, there's a big step up, and it sounds like that's going to continue in 4Q, understood you guys telegraphed that, but can you talk about your learnings after this last quarter? And what's the confidence in terms of the ROI on that spend? And what are you guys just seeing more broadly? Thank you.
Jarrod Yahes: 26:48 Yes, absolutely. So, what I would say is, there's great momentum from a marketplace perspective in terms of the creator economy and we felt like this was the time to really take advantage of and place a bet on getting our brand better understood. So, if you think about it, Shutterstock has been known for as a stock marketplace for many years. We've now done several acquisitions that move us into workflow and tools, which are focused on many customers that we don't have today. And so, repositioning the company and driving a brand campaign is incredibly critical. 27:38 Now, unlike our performance marketing channels, the window of performance and the measurement window is a little bit longer for brand spend because of its upper funnel marketing compared to where we spend a majority of our dollars. So, our readouts for the spend that we're investing in right now will actually come in early twenty twenty two. And we will adjust and optimize our spend as part of that, but we felt that this was an important time, particularly as we're transforming the company, but also just based on the marketplace trends where we want to ride that wave and we want to take advantage of market dynamics.
Andrew Boone: 28:34 Makes sense. Thanks guys.
Operator: 28:39 Thank you. The next one we have the line of Bernie McTernan from Needham & Company. Your line is now open.
Bernie McTernan: 28:48 Great. Good morning, guys. Thanks for taking the question. A lot of product innovation on subscriptions so far this year, I just want to maybe take a step back and now that FLEX, the SMB product is six months since you launched, can talk about some of the early results and what you're seeing and why it's the right decision now to be launching these others subscription services with twenty five and premium?
Stan Pavlovsky: 29:13 Yes. I'll talk a little bit about kind of the strategy behind it and then I'll let Jarrod get into the specific numbers that we can share. But effectively, we have been really focused on becoming much more of a subscription based company in general, both the lifetime value and the economics of subscription businesses tend to be significantly better than, kind of transaction oriented or one time transaction oriented businesses. 29:50 And so, we feel that if we can differentiate the products efficiently that we can drive our subscription products, we can have subscription oriented metrics going forward that are positive, both net revenue retention, increasing AOV, all the things that you'd like to see with companies in the subscription space. And what we've learned from launching some of the FLEX products is that our customers really enjoyed the flexibility to not have overly defined allocations of assets or specific types of assets and instead, they want to have the ultimate flexibility based on the flow of projects that they have throughout the year. 30:47 And this has been a great learning for us. It's also part of the reason why we decided to now test the FLEX product within e-commerce. But I'll let Jarrod talk more specifically about any numbers we can share.
Jarrod Yahes: 31:03 Sure. So, a couple of comments on FLEX as it pertains to enterprise because that's the product that's been out in the wild, in market. I think number one, what we're seeing from that product, it's ultimately a product that helps us expand our average revenue per customer. We're getting a greater wallet share from our customers. And what we're seeing is customers who previously would have purchased images from us, videos or music, we are expanding out and giving them the benefit of being able to purchase everything within one enterprise account. 31:37 And so, when you think about the revenue per customer that's coming from the enterprise FLEX customers, that's about thirty x the average annual revenue per customer for Shutterstock in the aggregate overall. So, it's a great beneficiary for ARPU or for average revenue per customer for our business. 31:58 The other piece is, we had initially believed at the onset of launching the product and enterprise that a minority of the business was going to be for new customers. And what we're seeing is a significant amount of the growth is really coming from net new customers to our ecosystem, above our expectations, which is really tremendous for us not only to get the expansion of revenues for existing customers, but also be able to mine and expand the net new customers and we're seeing that product really resound with the market. 32:34 So, I think we feel quite good about it. It's not necessarily impacting at this point in time subscriber count in large numbers because it's an enterprise product, but as FLEX 25 goes into the market, that's a lower ARPU product, but we expect that to impact subscriber count going forward. So, we're quite excited about the launch into e-commerce and that's a great opportunity for Shutterstock.
Bernie McTernan: 33:00 Understood. And additionally, I just wanted to ask about, and this certainly a hot topic, we're getting a lot of questions about, but just if you're seeing any weakness in your end markets because of, you know and this is following up from Snapchat’s earnings last week because of changes to IDFA or headwinds from the supply chain just if you're seeing in your end markets at all or if you're relatively immune?
Stan Pavlovsky: 33:24 Yeah, it's a great question. Our business model because our business model is not focused, our sort of direct to consumer business model is not focused on advertising, really where we would feel it as our customers who are dependent on advertising if they effectively spend less on Creative. We've not seen that at this point. 33:51 Where it does impact us a little bit is in our, sort of ability to track our own marketing spend on our brands. But we we're taking – we knew this was coming and similar with, kind of the changes to what's happening with cookies, our internal marketing team is working with several partners on attribution on our ability to really look at the effectiveness of our marketing going forward, but our business model because we're not dependent on advertising revenue per se, is less impacted by that change.
Bernie McTernan: 34:38 Understood. Makes sense. Thanks for taking the questions.
Operator: 34:43 Thank you. The next one we have the line of Nat Schindler from Bank of America. Please go ahead.
Nat Schindler: 34:52 Yes. I think I actually got most of my question answered earlier with Youssef, but I wanted to just a little bit of bookkeeping. How are you going to allocate PicMonkey revenue into your buckets, doesn't seem to fit within the exact way your current revenue models?
Jarrod Yahes : 35:13 So, Nat – this is Jared. We will be reporting PicMonkey out as part of our e-commerce revenue channel, because that's the predominant way in which it will be sold. Ultimately, the way we are thinking about PicMonkey is not only as a creative design tool, but effectively a bundle or a pairing of a creative design tool with our content. 35:36 And so, we are going to be both offering PicMonkey as a design first subscription for our customers and we're quite excited to bring that to market at a new price point for us that we believe will be a highly competitive price point. But we will also add value to our existing subscriptions by introducing that creative capability into the Creative Flow platform. And so, for existing Shutterstock content subscribers, they'll have access to that new PicMonkey capability, but that's how we'll report it out, and incorporate it into our offering.
Nat Schindler : 36:13 Yes. And as a follow-up. You guys have been quite successful about acquiring businesses that are really additive over the last couple of years. What's the pipeline look like? Obviously, you can't tell me about what you're going to buy, but how is the market beginning to look for acquisitions going forward?
Jarrod Yahes : 36:35 So, now, we feel very good about the pipeline. There's two primary areas that we focus in on and we look at: one is, we look at our product roadmap. We look at where we want to take our platform going forward and are there applications or tools that allow us to pull forward that product roadmap and accelerate and get into market quicker and more effectively with leading technology. So, I think PicMonkey and some of the acquisitions we did with Shutterstock.ai is a great example of that strategy and approach. 37:08 We are also looking at the potential for content acquisitions. We are a large marketplace for content. We added to our content types with the acquisition of TurboSquid earlier in the year, which is the largest 3D marketplace. There are opportunities to add other content types to our marketplace to consolidate smaller players that may have attractive assets or attractive customer basis or brands. So, we absolutely look at consolidating acquisitions in the marketplace business and those opportunities are certainly there. 37:47 We are going to continue to remain disciplined. Valuations are generally high both in the public and private markets, but we feel like we are very well capitalized. We feel like we're well-positioned to execute on deals and we're constantly building our pipeline and looking for opportunities out there. So, I think we're excited to integrate the deals that we've done, but we are going to be on the margins, so you shouldn't be surprised to see us out there in the quarters to come on executing on additional deals, not dissimilar from the deals we've already executed.
Nat Schindler: 38:22 Great. Thank you.
Operator: 38:26 Thank you. I am showing no further questions at this time. I would now like to turn the conference back to Mr. Stan Pavlovsky.
Stan Pavlovsky: 38:37 Well, thank you all for joining us today, and thank you for the questions. And as always, we extend our gratitude to all of our customers, contributors, and employees. So, thank you again, and that ends our call for the day.
Operator: 38:53 Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.